Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to SeaWorld Entertainment's Second Quarter 2016 Financial Results Conference Call. My name is Chris, and I'll be your conference operator today. At this time all participants are in a listen-only mode. After conducting their prepared remarks, the management team from SeaWorld will conduct a question-and-answer session, and conference participants will be given instructions at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Mark Trinske, Vice President of Investor Relations. Please go ahead, sir.
Mark Trinske - Vice President-Investor Relations: Thank you, and good morning, everyone. Welcome to SeaWorld's second quarter 2016 earnings conference call. Today's call is being recorded and webcast live. A press release was issued this morning and is available on our Investor Relations website at www.seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Joel Manby, our President and Chief Executive Officer; and Peter Crage, our Chief Finance Officer. On today's call we will review our second quarter and first half 2016 financial results along with recent factors impacting our business, and then we will open up the call to your questions. Before we begin, I'd like to remind everyone that our comments today will contain forward-looking statements within the meaning of the Federal Securities laws. These statements include but are not limited to the comments on the company's full year guidance and are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the risk factors of our Annual Report on Form 10-K filed with the Securities and Exchange Commission. These factors may be updated from time to time and will be posted in our filings with the SEC and made available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call we will reference certain non-GAAP financial measures. More information regarding our forward-looking statements and reconciliations of our non-GAAP financial measures to the most comparable GAAP measures are included in our earnings release and can also be found in our filings with the SEC. Now I would like to turn the call over to Joel Manby. Joel?
Joel K. Manby - President, Chief Executive Officer & Director: Good morning, everyone, and thank you for joining us today. Before we walk through our performance in the second quarter and first half, I'd like to provide some context for lowering full year guidance and a brief commentary on our dividend. First, we believe from the data that we'll share on this call that the ongoing implementation of our strategic plan is making a positive difference, although unexpected macro factors have weighed heavily on our recent performance. While our strategy is allowing us to make progress in markets outside Florida, the quarter was below the expectations we communicated to you in May, primarily due to accelerated declines during the quarter in Latin American guests at our Florida park locations and a broader downturn in the Orlando market, particularly in the latter half of June. Now excluding the impact of Latin America, revenue at our Florida park locations would have increased on a year-over-year basis during the months of June and July. We estimate that combined these factors and others impacted our financial results by approximately $11 million in lost adjusted EBITDA in the second quarter. For the full year, we are projecting that Latin America will account for approximately $30 million in lost adjusted EBITDA. As a result of our current and projected environment, we have lowered our full year adjusted EBITDA guidance to be in the range of $310 million to $340 million, and Peter will discuss this updated outlook in greater detail with you in a moment. Regarding our dividend, based on our reported results we believe that we will declare the October dividend payment. Of course, our Board will make any dividend declaration and our capital allocation decisions now and in the future be in the best interests of all shareholders. Again, while we are disappointed with this quarter, we are seeing several positive trends that indicate that the strategy we shared with you last November and are implementing has begun to gain traction, and I'd like to share just three highlights of those positive trends. First, after we announced the orcas currently in our care would be our last generation, our recent nationwide polls have confirmed continued positive public feedback. A fact, our recent surveys showed our announcement made the public more favorable about SeaWorld by an eight to one ratio which is even higher than the seven to one positive ratio we saw right after the announcement in March. And the announcement makes them more likely to consider visiting SeaWorld by a five to one ratio, and an increase from a four to one ratio that we reported to you right after the March announcement. We will continue to monitor this sentiment, but we believe this is a very good sign for the long term health of the business. Secondly, California is stabilizing and Texas is growing. In California, revenue is only down 2% year-to-date through June, an improvement compared to a decline of 8% in the previous year and a decline of 13% the year before that despite a lack of any new major attraction and increased competition this year from the new Harry Potter attraction at Universal Studios in Hollywood. The new management team in Texas has done an excellent job in stabilizing this location and delivering improving results on a net basis at those parks. In Texas, revenue is up approximately 2% June year-to-date compared to a decline of 17% June year-to-date last year. This is a welcome improvement after a three straight year decline during the same period in Texas. In addition we have a solid new product rollout plan for 2017 for our SeaWorld Parks in California and Texas, and we anticipate further improvement in both parks next year. Excluding Florida, total attendance at all other locations increased by 1.7% or 67,000 people in the first half. But California and Texas are turning. Third, we are seeing improved results driven by the capital investments we have made in new rides and attractions. For the month of July we had improved performance in Florida with the opening of our new rides, Mako and Cobra's Curse, which are receiving positive reviews and for the month of July on a comparable basis have contributed a year-over-year attendance gain in Florida. We believe this increase would have been significantly greater without the negative impact of fewer guests from Latin America. In fact, our revenue would be up 6% in July at our Florida parks without the Latin America impact, which gives us confidence that our capital investments are working to drive local and domestic attendance per our strategic plan. Now in response to our softer than expected second quarter results, we are rolling out new revenue growth initiatives, including extended hours at our SeaWorld Parks in California and Florida, and added a Summer Soak Party in Orlando and San Antonio. Looking forward to the fall, we believe we are well positioned for year-over-year growth. Our fall events have historically performed at a high level, and we are expanding our offerings throughout the system this year to include expanding our Bier Fest in Williamsburg and enhancing our Howl-O-Scream Party at the same park. And for this Christmas season we're excited to be welcoming Rudolph, the Red-Nosed Reindeer, and Friends to our SeaWorld and Busch Gardens Parks. In addition we are increasing our advertising spend during this key period and will be launching aggressive buy early and save 2017 season pass acquisition campaigns that we expect will strengthen our fall and build the foundation for success in 2017. Despite the challenges that accelerated this quarter, we are confident we are on the right path. We know it will take more time to get where we want to be as we work through these macro issues and continue to execute our plan to stabilize the company's performance in Florida and return to growth. With that I'll turn the call over to Peter to walk through our financial results and the details of our revised 2016 full year guidance.
Peter J. Crage - Chief Financial Officer: Thanks, Joel, and good morning, everyone. First, I'd like to walk you through our financial results, and then I'm going to take some time to explain our thinking behind the revised outlook for the year. As expected and communicated last quarter second quarter results were negatively impacted by calendar timing. As a result, I'll focus my discussion on our six-month results, as they are most directly comparable and eliminate the impact of this timing year-over-year. As Joel mentioned, first-half results were exacerbated by weakness in Florida, which is primarily attributable to an accelerated decline in Latin American attendance and an overall softness in demand in the Orlando market. For the first half of the year, the company generated total revenue of $591.4 million, a decrease of $14.8 million or 2.4% compared to the same period in 2015. Attendance in the first half of 2016 declined by approximately 411,000 guests or 4.2% primarily due to weakness at the company's Florida park locations. Specifically, Latin America attendance shortfall contributed almost 60% of this decline. In the first half total revenue per capita improved by $1.17 to $63.72, which was driven largely by increases in in-park per capita spending due to increased sales of our in-park products such as All-Day Dining packages and Front-of-the-Line Quick Queue access. For the first half of 2016, the company generated a net loss of $66.3 million or a loss of $0.78 per diluted share. Adjusted net loss was $31.5 million or a loss of $0.37 per diluted share. This compares to a net loss of $37.8 million, $0.44 per diluted share and an adjusted net loss of $24.8 million, or a loss of $0.29 per diluted share in 2015. Adjusted EBITDA was $77.8 million, a decrease of $18.5 million or 19% compared to adjusted EBITDA of $96.3 million in the same period of 2015. Operating expenses increased $26.7 million mostly due to an increase of $9.5 million in noncash equity compensation expense, an increase in other direct labor and benefit costs and an increase in asset write-offs including the $6.4 million write-off last quarter associated with the Blue World Project. SG&A expenses increased by $15 million and included an increase in noncash equity compensation expense of $19.3 million. Excluding this noncash equity compensation, SG&A expenses decreased by $4.3 million for the first half of 2016. Turning to the balance sheet, we ended the first half with $29.2 million in cash and cash equivalents. Our net leverage ratio as of June 30 was approximately 4.71 times adjusted EBITDA. And subsequent to the end of the second quarter we paid off the outstanding balance on our revolving credit facility. Looking to July, monthly attendance was up 4% year-over-year on a comparable basis company wide. This includes an increase in attendance in our Florida park locations, where we are seeing the impact of capital investment in our two new attractions, Mako and Cobra's Curse, which came online in mid-June. This brings me to our guidance. We now expect adjusted EBITDA for the full year 2016 to be in the range of $310 million to $340 million compared to our previous range of $335 million to $365 million for the full year 2016. Now I'd like to walk you through how we arrived at this new guidance range. In developing our guidance, we updated our view on two primary factors that impacted our performance in the second quarter, an acceleration in the decline of Latin American attendance, and observed softness in the Orlando market. First, the continued and accelerated decline in Latin America guests in the second quarter. To provide you with a bit more granularity, last quarter we had projected that the decline in Latin American attendance would be consistent with what we saw in that quarter, off about 25% to 30%. In the second quarter, the decline accelerated to 45% to 50% or approximately 127,000 guests. Based on this accelerating decline, we are now assuming that lower Latin American attendance of approximately 450,000 to 500,000 visitors for the full year or approximately 40% of our Latin American attendance will result in a revenue shortfall between $34 million and $38 million, which represents an additional decline of between $15 million and $20 million for 2016 compared to our original model. This will have an estimated adjusted EBITDA impact of $30 million at the midpoint as compared to $15 million in our original full year guidance. And second, observed softness in the Orlando market. We are seeing data that shows year-to-date hotel occupancy in Orlando is down about 2%. Other tourism industry reports indicate attendance figures at theme parks are off across Orlando. We have also seen theme park competitors lifting blockout dates on their passes for the remainder of the year and some going back to non-peak pricing to attract guests. We believe this softness in the Orlando market along with other factors will result in approximately $7 million of additional adjusted EBITDA shortfall versus our original guidance for 2016. So, in total, these two factors account for the majority of the $25 million of additional projected adjusted EBITDA shortfall in 2016 at the midpoint of our range, resulting in our new guidance of adjusted EBITDA for 2016 to be in the range of $310 million to $340 million. However, we are seeing signs that certain initiatives are taking hold. As a result of new offers we have implemented, season pass sales have actually improved slightly. While last quarter we projected $10 million to $12 million negative impact on 2016 revenue from soft season pass sales, we now expect the full year impact to be less, and in the range of $8 million to $10 million. We also continue to focus on financial discipline, an important pillar of our strategic plan. In November, I spoke about taking 200 basis points to 250 basis points out of our cost within three years. We remain committed to this goal and are making progress. In the first half, SG&A expenses excluding the non-cash equity compensation expense were down by $4.3 million. We have undertaken a comprehensive review of our operations and have already identified opportunities for better efficiencies at lower costs. However, we need to do more. Now we are stepping up our efforts and evaluating our cost structure in an effort to drive greater efficiency sooner. We recognize that based on current performance levels we need to right-size our cost structure and we will continue working over the next few months to identify and drive additional cost savings. Also, we've reviewed our CapEx plans and believe we will be able to optimize our spending with no impact to our operations and have subsequently tightened the range. We expect to spend no more than $175 million to $180 million in CapEx this year. Although the first half of the year, weighed down by an acceleration of largely negative macro factors in the second quarter, was below expectation, we are seeing signs that certain initiatives we have deployed are working. Reputation improvement, as Joel mentioned, improving performance in Texas and California thus far, season pass sales improvement versus our original projection, and increased attendance in Florida in July despite the numbing effect of the Latin American attendance decline are indications that we are making progress. Now I'd like to turn the call back to Joel.
Joel K. Manby - President, Chief Executive Officer & Director: Well thank you, Peter. As I have said before, this turnaround will take some time and will be a bit bumpy, but we have a very clear understanding of the challenges we face. We see our parks in California and Texas improving, and shown without the Latin America issue, the capital invested in Florida appears to be delivering on our strategy. In addition, we're aggressively implementing short and long term revenue growth initiatives. By driving revenue growth, and as Peter mentioned, aggressively managing our costs, we are confident in our strategic plan, and our ability to return the company to consistent profitability and growth and improved shareholder value. With that, I will open up the call for questions.
Operator: The first question is from Barton Crockett with FBR. Your line is open.
Barton Crockett - FBR Capital Markets & Co.: Okay. Great. Thanks for taking the question. I guess a couple of things here. First, the commentary about the dividend, if you guys hit the low end of your guidance you're pretty close to 5x leverage by our math. You have a restricted payments basket that would, as currently written, would constrict your ability to pay dividend. But you also have I think a position as a very good credit, I think, lenders want to lend you money. I think, they want to work with you. It's a very favorable interest rate environment. And you guys said at different points that your land and asset value is north of $5 billion, which is a big multiple of your debt. So I was wondering if you could comment on your interest, willingness or the opportunity you would see to work with lenders to get more relief on that covenant, if the macro continues to be slippery and earnings perhaps come at the low end or a little bit lighter of your expectation currently?
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. Hey, Barton. This is Joel. Let me start, then I'll turn it over to Peter for more color. I think, the macro issue that we all have to understand, we are incredibly focused on hitting or exceeding the midpoint of our range, which is $325 million. At $325 million or higher we don't have any issues on the five times leverage. And we are all incredibly focused and determined to do that, whether it's revenue enhancement or cost structure issues to not even introduce the issues you are bringing up. But having said that, if all of our best efforts don't get us there, and we are very focused and urgent about it, I'll let Peter address that.
Peter J. Crage - Chief Financial Officer: Sure. Hi, Barton. Clearly we take a look at – and as Joel pointed out, the $325 million and north of that, we have a comfort, obviously comfort, that we would have the ability to pay the dividend. And clearly we would talk with our lenders if we felt that that was the best approach to take, such that we wouldn't be sacrificing capital in our capital allocation model. Clearly where the markets are strong, if we can renegotiate our lending package at appropriate rates, that makes sense. But we have a very inexpensive debt structure right now, and going out to the market and pricing up debt would not necessarily be the smartest thing to do. But we will continue to take a look at it.
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. I think, one additional comment, we want optionality. If we're above $325 million is the best use of that cash the dividend is always the question that the Board, which I'm part of, we all make that decision, because the good news is with our announcement and some easing on some of the brand issues, we are getting more opportunities. We are getting more partnerships coming our way. So, there's always the question, what's the best use of the cash, but we want to have that optionality and create our opportunities.
Barton Crockett - FBR Capital Markets & Co.: Okay. I mean, I understand that this is a Board decision, and there's obviously a limit on what you can say very specifically, but I detect from what you're saying that it sounds like you think in the current environment there would be an opportunity to get some flexibility if you chose to go there. The question is whether you would choose to go there. And so to what extent do you think the dividend is important? How important is that for your management of the company do you think at this juncture?
Joel K. Manby - President, Chief Executive Officer & Director: Well, we have always said to our shareholders we think it's important, especially until we show we have completely stabilized the business. Unfortunately because of this macro, this Brazilian issue, it's been a setback to show that clear stabilization. I think without it we have shown it. But in my mind and in the Board's mind it's always been an important element to keep the shareholders in the game until we show our stabilization and then we have plenty of ideas and opportunities of how to use more capital, but I think, it's harder to do that in an environment where we haven't proven that we've hit the absolute bottom and that's what we're incredibly focused on and why I haven't spent a lot of time talking about the new ideas that we have. There's plenty of ways to grow the SeaWorld entity, but we're trying to get there first. So I think it's really important until we've proven that bottom and that stabilization.
Barton Crockett - FBR Capital Markets & Co.: Okay. And then on the July trend which was clearly encouraging, up 4% in July, for other theme park companies can be half of the quarter. So that would seem to be a good indicator for the third quarter. Is there any reason to think that that type of trend, that up 4%, wouldn't persist for the back part of the year? Or is there some deceleration in that trend that's kind of baked into your outlook?
Joel K. Manby - President, Chief Executive Officer & Director: No. There's nothing. There's no reason to believe that it would change. First of all, historically, the last five years the fall and winter, we have on average grown about 4.5% to 5% in that range because our Halloween and Christmas festivals are very, very strong in the markets that they exist. The audience is less internationally focused. So, for all those reasons we feel very confident in the second half of the year. In addition, even for the tourism – I'm sorry, even in for the summer market, what I tried to articulate is the rise in Florida, both at Tampa and in SeaWorld are doing their job strategically. They're drawing the local market, they're driving overnight market, and even our domestic market, they all grew in Tampa and in Orlando which is very encouraging because that is our strategy. A value play, a capital we can afford, drawing that 300 mile in, being the easy park to use. That part is working, but we are being hurt worse than we thought we would be in Brazil.
Peter J. Crage - Chief Financial Officer: The only thing I would – excuse me, add to that, Barton – this is Peter, is that the attendance increase. We had a hot summer pretty much across all of our parks and we're seeing strong waterpark attendance, and that can have an impact on per capita. It's just as you think about the cadence in our revenue as well, and Joel's points are right on, but I think July was named the hottest summer in history or at least in recordkeeping history. So we're seeing great waterpark attendance as part of the overall park mix.
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. But the revenue may not be there as strong...
Peter J. Crage - Chief Financial Officer: Right.
Joel K. Manby - President, Chief Executive Officer & Director: ...because of that mix issue. One other point, I'll just proactively say about the Brazilian issue. We're incredibly disappointed that we have to come on and say just three months later that it's about almost double what we thought. A $15 million EBITDA issue to a $30 million EBITDA issue. We have historical data. We look at historical trends by exchange rate. It tends to be about a 0.6% correlation between exchange rate drop and attendance drop. So in this case, with Brazil, it's a 45% exchange rate difference. We had trending and we were trending about a 20% off cadence which matches that historical correlation. Unfortunately it accelerated in June and May to almost match the exchange rate. I mean, we're literally off 40% on our Brazilian business, and the exchange rate difference was about 45%. So that's unprecedented for us, and part of (26:42) that acceleration was something we had to build into our guidance.
Barton Crockett - FBR Capital Markets & Co.: Okay. And then just one other big issue. I just want to ask you very quickly though because it's on top of everyone's mind. The Brexit impact, the currency declines for the British. Any sense if that's impacting attendance? Any sense of the size of the British as a percent of your attendance. And then also if you could comment on the more recent news about Zika in Miami, and what impact do you think that might be having on the Orlando market and you guys?
Joel K. Manby - President, Chief Executive Officer & Director: That's a good question. The hits just keep on coming right from the international business. On Brexit, the 15% is, we think, if you apply the same correlation that would say, all right there's going to be a 7% to 10% impact on us at some point. I personally was on a call with our English distributors. We are on top of the daily. We have seen no impact so far. They are long lead times. The better news in England versus Brazil is the English pound is also more expensive versus the euro, not just the dollar. So even vacationing in Europe isn't really a good option and there's also safety issues in Europe. So we don't think it's going to be as impactful as Brazil, both because the exchange rates are not as impacted and also those issues I just mentioned with the Euro, but we will look at it and build it in more into 2017 and 2018 because of the lead times associated on those. So we don't anticipate much in 2016, but we will look at it in 2017. But let me say, we are very focused on doing what we can to minimize that risk. So, we're marketing for Discovery Cove, we're increasing our marketing cadences into the domestic part of the country versus that's a big market for us for Discovery Cove. We're shifting ad dollars. We're focusing very hard on 300 miles and in, because we can still win there and we're proving that we can. So even though yes, we anticipate some impact, we are trying very hard to abate it and doing everything we can to keep it to a minimum. As far as Zika, we are working very, very closely with the Florida government along with the tourism industry. We absolutely take it seriously. We have very robust mosquito control programs at all of our parks. I think we're a leader in the industry. We're working very closely with local, state and federal travel and tourist industry folks on any updates and recommendations. We've been working with Senator Rubio and Nelson to make sure we've got funding to address the issue quickly. But could it impact us? Yes, but we're doing everything we can to make sure we're on top of it. The whole industry in Orlando does an incredibly good job of mosquito abatement, and so we think we can keep it to a minimum. You know a mosquito only travels 150 yards its entire lifetime. So if we keep the facts out there, we will hopefully minimize any impact.
Barton Crockett - FBR Capital Markets & Co.: Okay. Great. I'll leave it there. Thank you.
Operator: The next question is from Matthew Brooks with Macquarie. Your line is open.
Matthew Brooks - Macquarie Group: Good morning, guys. I just wanted to find out. You said attendance was up in July for the new rides. Any indication about pricing at the same time?
Joel K. Manby - President, Chief Executive Officer & Director: As far as – this is per cap you mean?
Matthew Brooks - Macquarie Group: Yeah.
Joel K. Manby - President, Chief Executive Officer & Director: Two issues that are a factor for us. One is the waterpark mix that Peter mentioned. That will hurt per caps a little bit versus historical averages because we have a higher percentage of people in our waterparks. However, we definitely are discounting less. We have less freebies and our season pass program has gone from a buy-one get-one last year to now we give the waterpark which is a lower discount, and we've seen a stabilization of that season pass business. We commented in the first quarter that we had got hurt in our season pass business, but now we are tracking ahead of last year so that shows some pricing power on our season passes. The daily is a little bit more competitive right now because our friends in Disney and Universal are being very aggressive in the market as well. There's a general softness, but we are holding our own from a pricing standpoint.
Matthew Brooks - Macquarie Group: Right. I guess the results from attendance show that, as you say, the capital that you put in does work. Do you have anything you can say about the capital plan for Orlando specifically next year? I mean, you're going to have some big new attractions from Universal and Disney coming next year, and do you need some sort of new capital to sort of retain market share?
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. We do have three things we're going to market next year. We're not prepared to go public with that. In our next call, we will go public, but we have, I think two really good new things and one is a re-market of a very positive thing. So we will have something to talk about that I think fits end-market, fits our 300 mile and in strategy, and I think we can continue to make traction there, as we had (32:10).
Matthew Brooks - Macquarie Group: Will you require much extra capital or there'll be capital allocation that you've set up already?
Joel K. Manby - President, Chief Executive Officer & Director: No. Right now, the answer is no. Our capital allocations right now are about $175 million to $180 million this year and we're planning on about the same next year. And that cadence feeds all of our parks according to our strategic plan. I think the thing that may change that is if we want to be more aggressive trying to go after farther out domestic business or international which is a shift in the strategy. We may choose to put more capital into Orlando. But right now, for our strategy to gain market share 300 miles and in, and win where we can win there, it does not take more capital.
Matthew Brooks - Macquarie Group: All right. Last one from me. On LatAm, which was called out as a negative after Q1. I think, you mentioned that you had some strategies you were going to try and implement to try and bring the tourists back. I was just wondering what those were and maybe what you're going to do differently now, perhaps to hopefully get some more LatAm tourists back in the second half.
Joel K. Manby - President, Chief Executive Officer & Director: More Latin America guests, is that what you were saying? I couldn't hear you.
Matthew Brooks - Macquarie Group: That's right. I was just trying to understand, what was your strategy after Q1 to try and get Latin American visitors back?
Joel K. Manby - President, Chief Executive Officer & Director: Actually, what we stated and what we have decided to do very proactively is based on how poor the economy is there and really the airport traffic coming in, airlines had stopped coming into Orlando, we made the strategic decision instead of putting good money after bad in our opinion, we actually shifted dollars to focus on the 300 mile and in domestic audience, local audience and we have seen tremendous improvements there. That July increase in Orlando and Tampa is almost entirely – well, it is entirely the 300 mile and in, and some domestic customer growth. The international trends have not improved and that was not our strategy to try to go after that because of what we're seeing in the data, what we're hearing from competitors, what we're hearing from airport data, that this is not a SeaWorld only issue. It is a market issue. And we're not claiming that there may not be some market share shifts, we don't know that. But we do know that we're winning and we're doing well with the money spent on our strategy to attract that 300 mile and in audience.
Operator: The next question is from Joe Stauff with Susquehanna. Your line is open.
Joe Stauff - Susquehanna Financial Group LLLP: Thank you. Good morning.
Joel K. Manby - President, Chief Executive Officer & Director: Good morning.
Joe Stauff - Susquehanna Financial Group LLLP: So the, Barton and the previous analyst asked a number of relevant questions, the big items. But I wanted to just touch on the point that you mention in your last remarks or your last response about that strategy pivot or change this year to focus on the regional audience and/or market. What else can you tell us with respect to how that's working to obviously supplement or the lack of – or the weakness in international traveling and/or destination traveling to Orlando? What else can you share with us? Are you able to provide maybe some numbers as it relates to what your overall Orlando was up in July relative to the overall corporate rate of 4%? What else can we maybe put our arms around?
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. First of all, let me emphasize one point. We are not taking anything away. Our international strategy in general has stayed the same. Brazil is where we pulled some money out because the market was so weak. So, as a company, we don't want to de-emphasize it going forward, but the new money, the increases in marketing spend as we grow have gone entirely into that either an internet based strategy for domestic visitors, so anyone who's vacationing will see us when they come to Orlando on the web and any traditional media is 300 miles and in. That strategy is clearly working. Our source of residency data says that in Tampa and in Orlando our local and drive-in overnight markets are up between 5% and 15% depending on the area and depending on the park. And we don't want to get that specific with the data, but our Orlando attendance and revenue as I said, without Brazil would be up 6%. And that to me says that on a revenue basis our strategy is working and we can attract people with our capital and we feel from the other data, our brand issues are abating and that's the big point.
Peter J. Crage - Chief Financial Officer: Yes. The only item I might add to that, Joe, is that of the 4% company-wide I will say that Orlando is stronger than that 4% average. Hopefully that's responsive to your one question and concern.
Joe Stauff - Susquehanna Financial Group LLLP: Okay. Thank you and just one, maybe follow-up on this particular item. How do we understand just the seasonal cadence of that increased investment, again regional versus destination? You started it – I mean, obviously, the advertising campaign, we see it up here in New York, but when was that started in and how would you expect basically that is it now just hitting? Was it not hitting, call it in the May and June timeframe? What else can you tell us in terms of just that investment and when basically some payoff from that incremental investment is starting to hit? Obviously it's hitting in July, but what else can you tell us? Would you expect it to accelerate from here?
Joel K. Manby - President, Chief Executive Officer & Director: First of all, what you're referring to, I believe is the Real. Amazing. campaign which is part of our reputation spend. It's the first time in the history of the company we've put our rescue operations and some of the good we do juxtaposed with how much fun you can have at the park, and that's that experiences that matter focus and we also tagged it with a specific family offer. That's not part of our long term strategy. We want to focus almost entirely on the web for those domestic audiences in New York coming to Orlando. However, to answer your question specifically, we are increasing our marketing spend in the fall. We have built that into our guidance and it's part of the reason we are putting all the guns on making sure we want to hit or exceed that $325 million midpoint of the range. We haven't built in acceleration of our current trends because our current trends for domestic and local markets are very good. I just said between 5% and 15% up in those markets in Orlando and Tampa. That's very good performance. So we hope to maintain it, but we're not accelerating it.
Operator: The next question is from Benjamin Chaiken with Credit Suisse. Your line is open.
Ben N. Chaiken - Credit Suisse Securities (USA) LLC (Broker): Hey, guys. Just on the OpEx side, it looked like it was flat year-over-year, is there anything one-time in this number insulating it we should be aware of? Just with significantly lower volume it kind of implies some cost pressure on that side, any color here on the cost-cutting initiatives as well would be helpful.
Peter J. Crage - Chief Financial Officer: On the OpEx side, wage merit, particularly minimum wage and competitive wage challenges and pressures in particularly Florida and California are built into that. Of course, we have some new attractions that cost us OpEx, but the majority of it is a wage pressure, rate wage pressure across the company in particular in California and Florida.
Ben N. Chaiken - Credit Suisse Securities (USA) LLC (Broker): Got it. And then not to belabor the point, but there's a lot of emphasis on Latin America and the calendar shift that impacted the business, but the Latin American – Latin America shift seems pretty similar to what it was in 1Q. 108,000 guests versus 127,000 guests, and the calendar shift should be pretty straightforward. So just curious on the moving parts here versus your original expectation. I mean, is 1Q typically a heavier LatAm quarter than Q2?
Peter J. Crage - Chief Financial Officer: Yes. Yes.
Ben N. Chaiken - Credit Suisse Securities (USA) LLC (Broker): Okay.
Peter J. Crage - Chief Financial Officer: Yes, it is, and then we looked at the 108,000 guests versus 127,000 guests, we also look at that as a percentage of what we'd expect, and of course, the second quarter is a – it escalated from the 25% to 30% up to 40%, 47%. So that's why we take the view on a relative basis for the rest of the year, and have increase the decrement associated with that.
Ben N. Chaiken - Credit Suisse Securities (USA) LLC (Broker): Okay. And then one more. Just some color on your pricing. At least in Florida the plan was to discount the main gate from $79 to $69 in my understanding, and then remove that discounting when Mako opened? Where do we stand on that front? And your thoughts going forward? I guess another way of asking, on a sequential basis, 3Q from 2Q, do you keep the same pricing strategy or change that at all?
Joel K. Manby - President, Chief Executive Officer & Director: We did intend to bring it up, we decided proactively based on the competitive environment that we were seeing we did not take it back up. But I think it's part of the reason we're seeing really strong local and drive-in overnight success on the ride because of that. But frankly Universal lifted blackout dates, Disney was offering Florida residents discounts earlier than they ever have. We saw Lego have kids free. So all competitors in the market are being very aggressive, so we thought we had to stay that way proactively and I think it's working.
Operator: The next question is from Tim Conder with Wells Fargo Securities. Your line is open.
Tim A. Conder - Wells Fargo Securities LLC: Thank you. Just a couple. Peter, if you could review the math of the dividend at the $325 million EBITDA, and the security of that, and then the two different covenants? And I think, the covenants also are premised on your 9/30 trailing 12 result. So, if you could kind of go through that. And then Joel and team as a whole, again congrats on the early success of the strategy. It appears to be very solid and we'll have to continue to monitor that but one comment that you guys haven't talked about is Canadians. Canadians are the largest visitor group to Florida and we've seen some data that Canadians are staying home more this year as maybe they got hit with the realization of the currency last year. What are you seeing from the Canada perspective? And then lastly on the dividend itself and consideration of the capital allocation has there been any discussion of, given where the stock is, you're not getting paid for the dividend or investors are not respecting it? So has there been any discussion? I think it was danced around before, but just maybe cut the dividend in half. Cut it out in total. Get a better repricing on some refinancing and then look to maybe reinstate it over the next year or so.
Peter J. Crage - Chief Financial Officer: Hey, Tim. Peter here. Good morning. Just to level set, the October dividend declaration would be based on second quarter leverage, which we talked about at 4.71 times. So, we're well within the five times for the measurement of the dividend for October. And then the third quarter informs the dividend that we would otherwise declare in January of 2017. And the math is pretty straight-forward. I think, we had a trailing TTM EBITDA of $342 million and that on our outstanding debt on a net debt basis came in at 4.71% – 4.71 times. I'm going to answer your last question as well. And then Joel will jump into your second question. Clearly the Board and management, we take a look at how we're performing each and every quarter, each and every month. And take that into consideration as we think about capital allocation. Obviously we have discussions around is the dividend important? Is investing more in capital, CapEx important? So those discussions are ongoing. So going forward, we'll continue to have those discussions. Right now we have not had discussions about cutting the dividend to any great degree. We believe it's an important component of our total capital allocation. But as Joel pointed out, our focus is on maximizing EBITDA for the rest of the year, maximizing our flexibility so that we can make those capital allocation decisions with all the flexibility we can possibly have. You'll notice that we're also taking a look at CapEx and trying to find ways to do more with less in CapEx. So we're thinking about the entire stream of capital allocation.
Joel K. Manby - President, Chief Executive Officer & Director: I think that's important because, as I said earlier, we are getting more opportunities of partnerships, ways to grow our business, whether it's speeding up the resort strategy, other elements that I don't want to go into, that could get a higher return than the full dividend. So we always look at those issues, not just now, but always. And we always look at all of the best ways to get return. As far as Canada, first of all on a macro level, it's not a big part of our attendance. It's about 1% or less for the whole company. It's more important in Orlando. We have seen a decline there this year. But we do have a strong Internet marketing presence just with travel tourism and tenders up there. But we have built in the factors you're talking about into our guidance already. The current trends in Canada which are down on a very small basis.
Peter J. Crage - Chief Financial Officer: To size that, Tim, Canada is about a quarter, 20% to 25%, of what each individually Latin America and the UK are. So it's not as substantial as those two sources.
Tim A. Conder - Wells Fargo Securities LLC: Okay. And then, gentlemen, just to clarify. Did you have or have not factored in any potential weakening from the UK? It did not sound like it in 2016 because of the lag effect. But you'd be considering that for 2017?
Joel K. Manby - President, Chief Executive Officer & Director: I think that's basically right now. Certainly the low end of our guidance has some unexpected things built into it which that would be part of maybe some Brexit impact in 2016. Clearly, our trends and what is the midpoint of our range. So there's a little bit of wiggle room at the low end. So, yes, there's some built in. But most of it we think will be longer term.
Operator: The next question is from James Hardiman with Wedbush Securities. Your line is open.
James Hardiman - Wedbush Securities, Inc.: Hi. Good morning. I think you've answered some of this. But I just want to make sure I understand sort of how we should think about free cash and the component there. At $325 million midpoint to the EBITDA you're talking about $175 million to $180 million in CapEx. Remind us what the interest and tax numbers are there. And are there any sort of working capital adjustments we should be thinking about? Basically I get to pretty close to what your dividend payment would be in terms of free cash at the various midpoints. But help me just work through the quick math on free cash flow based on your updated guidance.
Peter J. Crage - Chief Financial Officer: Sure. And your math is pretty close. The way we think about it is at the midpoint $325 million, we're working to manage CapEx to $175 million. Interest at say $59 million to $60 million, debt amortization at say $25 million, so that's $85 million. We've already paid dividends of $57 million. So this next dividend we have to borrow slightly to get to it, but a small amount. So, yeah, essentially break even to $5 million to $10 million.
Operator: The next question is from Jason Bazinet with Citi. Your line is open.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Thanks so much. I just want to focus on international again because it's gotten so much air time. One of the things that confuses me a bit, is I'm sure all of your commentary regarding Brazil is accurate, but when we look at just the inbound passengers coming into Orlando from international markets, and the second quarter is still up comfortably double-digit. So, do you disagree with that in terms of international is still strong right now? And if you don't disagree with it, then why isn't there some sort of offsetting benefit from some other international markets outside of Brazil that's helping your numbers?
Joel K. Manby - President, Chief Executive Officer & Director: First of all, for Brazil. A lot of that comes in through Miami. And we, as far as the Orlando air traffic, we have talked to the airport officials and they are off double-digits on Brazilian inbound into Orlando. And Miami, we don't have the data right now, but the convention business is another big offset of that. It is a very big component year and it is doing pretty well from what we understand. But the data we talk about for tourism in Brazil is not just a SeaWorld issue. And, we have very, very strong and pretty, I would say very accurate SOR data to support that.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Okay. So two factors. One, you think a lot of the inbound traffic into Orlando is convention based, not going to parks. And two, a lot of your Brazilian visitors fly into Miami. That's the reason.
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. Yeah.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Okay. Perfect. Thank you.
Operator: The next question is from Alexia Quadrani with JPMorgan. Your line is open.
David Karnovsky - JPMorgan Securities LLC: Hi. This is David Karnovsky on for Alexia. Your release mentions attendance is up in California and Texas on a combined basis for the first half. Any color you can give on the attendance trends in those markets individually? And then on San Diego, any early indication on what the attendance impact could be even on a short term basis from ending the live whale shows at the end of the year?
Joel K. Manby - President, Chief Executive Officer & Director: What was the second part of your question? I'm sorry. Say it again?
David Karnovsky - JPMorgan Securities LLC: Just any potential impact on attendance at San Diego from ending the live whale shows at the end of the year.
Joel K. Manby - President, Chief Executive Officer & Director: Yeah. So, as far as more color, we are up in attendance in Texas for the first time in four years. And that is a very, very important issue for us and we've been trying very hard in that market. We put new leadership in. We have a very good product program coming next year as well. So we are excited about Texas and what's happening there and feel like that's going to continue. It's good to see growth there. In California, we've gone from minus 13% two years ago, minus 8% year-to-date last year. Now we're at only minus 2% and frankly, we have no large attraction this year. We have festivals that we're marketing and we have new things to market, but no major attraction. The next two years in California, we have major attractions coming that we're very excited about. In addition, Harry Potter is doing very well, as we understand it, in Los Angeles, so the fact that we're holding our own with very strong competition and no new major product and the data that I shared earlier, we are seeing very strong indications in California that our brand issues are abating. The data says that. The intent to visit's going up and it's a lagging indicator of people actually visiting. But anecdotally and the data says it is starting to turn in California. And we do anticipate it. This is not guidance. But I anticipate California growing next year for the first time in three years. And so big picture, I think two of the three SeaWorld Parks, we're seeing very positive trends. And we are in Orlando for July once we open our new ride. And we need to see that in the second half of the year play out. As far as the orca encounter that you mentioned, we are marketing that this fall. It has not started yet. We're not ending the whales being present at the park, just to clarify. Orca encounter is a new approach. The whales will be very, kind of a whale-centric presentation, not entertainment-centric. We're very excited about it. We've seen good reviews. But we will start marketing that in October and November with a buy early and save strategy, along with our new attractions. So we anticipate a good year in 2017. But no season pass impact so far because we haven't started marketing it yet.
David Karnovsky - JPMorgan Securities LLC: Okay. And then food merchandise and other on a per cap basis had another solid quarter. Can you just talk about what initiatives are helping there and what the outlook for the rest of the year looks like on that front?
Joel K. Manby - President, Chief Executive Officer & Director: We are very bullish on our – our culinary program in this company is incredible. We do an amazing job in our food and wine festivals at the Busch Parks. We are now implementing food and wine festival at all of our SeaWorld Parks called Seven Seas Festival and we are in the early stages there. So we hope that we can continue that good traction. That's really the biggest initiative behind those improvements that you've seen. We do, however, have a – the water park issue will dampen that somewhat just because of the mix issues. But the initiatives over time are the right ones. We've also been really successful with All-Day Dining. Just as some of the regional competitors have been successful, we are as well. Our catering business is up this year. And we're doing a really good job with Quick Queue. I think we're an industry leader there in some of the things we do to generate revenue. So all of the above is helping with our per cap improvement.
Operator: The next question is from Scott Hamann with KeyBanc Capital Markets. Your line is open.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Yeah. Thanks. Good morning. Two questions from me. First, based on your internal expectations, do you believe that at the end of third quarter you'll be below the five times leverage threshold? And then secondly, in terms of some of the cost savings, Peter, that you talked about, are any of those contemplated or do you expect that to show up within 2016? Or are those things we should expect in 2017? Thanks.
Peter J. Crage - Chief Financial Officer: Scott, hi. Yeah, we will be below the five times base and the mid-point of our range in the third quarter in our cadence. Your second question, I'm sorry, you broke up a little bit there.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Just in terms of the incremental cost saves that you talked about, that you're exploring now, are any of those going to show up in 2016? Or are those 2017 benefits? Thanks.
Peter J. Crage - Chief Financial Officer: Yes, we'd like to have them show up in 2016; we're pushing hard on those that are quick hits. Because we're looking at more structural – we're going to be looking at more structural issues, those may be delayed. And as you know, in this park business, you build this machine to open these parks and it's tough to turn that on a dime. So I would caution and say 2017, but we're going to work hard to find some low hanging fruit.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Okay, thanks.
Operator: The next question is from Felicia Hendrix of Barclays. Your line is open.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Great, thanks so much, and good morning. Joel, throughout this call you've talked a bit about on some pricing action that you've taken and competition, but I just wanted to kind of step back for a second and just, big picture, I was wondering if you could talk overall about your pricing strategies and more specifically your yield management strategies? Because right now it seems that your pricing is a bit reactive to what's going on in the market, especially in Orlando. And it also seems that a lot of times when you pull back certain promotions or discounting, the admissions drop. So I know originally, back before you guys there was the plan to kind of drop admissions so you can get in a higher quality customer, but it just seems consistent. So I was just wondering, what you're doing to mitigate some of the softness you're seeing in Orlando, but also keep in mind the old management strategies? I know you've talked about it a bit, but if you could answer the questions in particular regarding yield management strategies, that would be helpful.
Joel K. Manby - President, Chief Executive Officer & Director: We definitely are sticking to our strategy as stated in the November conference that we had, where we have done research on where our daily price should sit versus the competitors. I don't want to say what that figure is, but we have it validated very well with some pricing analytics of where we think we need to be. And we definitely have a buy early and save strategy and we definitely market, our entry point on season pass is substantially less than our competitors, and that is our stated strategy, we stick to it. We do vary, and we have varied a little bit based on competitive factors, but it's kind of a $10 range, whether it's $69 or $79. It's still an advance purchase only. If you show up at the gate, it's a higher price. And that differential pretty much stays the same. So I think all pricing in this market, there's some reactivity to competition. But our basic overall strategy of where we want to sit versus our competitors in Orlando and compete very strongly in that 300 mile and in audience and how we go after customers and price is still consistent with what we said in November.
Felicia Hendrix - Barclays Capital, Inc.: Okay. That's really helpful. Thank you. And just final question. Just wondering, in Orlando this year or so far, what percentage of your admissions has been locals versus last year?
Joel K. Manby - President, Chief Executive Officer & Director: We don't break it out quite that specific. But I will say that all of our, that 4% growth in Orlando, and then I said 6% between Tampa and Orlando on revenue, that's entirely the local and drive-in overnight market. There is no international growth there.
Operator: I'm showing no further questions at this time, we'll turn the call back to Joel Manby for any closing remarks.
Joel K. Manby - President, Chief Executive Officer & Director: Well thank you. Those are excellent questions. From a macro standpoint, I know the quarterly results are disappointing. I think what we have shown here, and I feel very strongly about this, that our brand issues that when I came into the company we had to solve, those brand issues are abating. And the data clearly shows that with favorability and intent to visit and I think our California and Texas results show that. Unfortunately right now we have a Florida problem. It seems like we don't have a SeaWorld Orlando problem. Tampa is off the same internationally or more than SeaWorld is. So we are addressing the issues and we feel these will abate. Our capital in Florida is driving attendance according to our strategy: local and drive-in overnight markets. So we do feel like our strategy is working, and we appreciate your patience as we work through these macro issues, which we will. And we're working hard on revenue and cost initiatives to make sure that we do everything in our power to hit that mid-point of the range so we have flexibility in how we use our capital going forward. That's our goal. That's our very urgent and intently-focused goal here. I just want you all to know that. So we appreciate your support and good questions and look forward to talking to you next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.